Operator: Thank you for standing by, ladies and gentlemen, and welcome to Coca-Cola HBC's Conference Call for the 2020 Full-Year Results. We have with us Mr. Zoran Bogdanovic, Chief Executive Officer; Mr. Michalis Imellos, Chief Financial Officer; and Ms. Joanna Kennedy, Investor Relations Director.  At this time, all participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I must also advise that this conference is being recorded today, Thursday, February 11, 2021.  I now pass the floor to one of your speakers, Ms. Joanna Kennedy. Please go ahead. Thank you.
Joanna Kennedy: Good morning. Thank you for joining the call today to discuss Coca-Cola HBC's full year 2020 results. I am joined today by our CEO, Zoran Bogdanovic, and our CFO, Michalis Imellos.  Zoran and Michalis will present our results; and following that, we will open the floor to questions. As always, we will ask that you ask your questions one at a time and that you wait for us to answer each question before you ask the next one. Rest assured we will keep your line open until we have answered all your questions.  Before we get started, I would like to remind everyone that this conference call contains various forward-looking statements. These should be considered in conjunction with the cautionary statements on the screen. This information can also be viewed in our press release issued today.  Now let me turn the call over to Zoran.
Zoran Bogdanovic: Thank you, Joanna. Good morning, everyone, and thank you for joining the call. I will start by giving you an update on business performance in 2020, after which Michalis will talk you through the financials in more detail before handing back to me for some comments on 2021 and beyond.  The numbers we released today demonstrate how far our business has come in building both operational agility and lasting margin resilience. I am proud of the speed, flexibility and care with which our people have responded to the coronavirus pandemic and the results we have achieved. While 2020 brought unprecedented challenges, the actions we took were fully in line with the strategic growth pillars we presented at our Capital Markets Day in June 2019.  What made the difference in 2020 was rigorous prioritization behind what was truly most critical in such a year. For us, that meant focus on a few key areas. First, delivering on our commitments to society as well as protecting our employees, supporting customers and communities, then ensuring operational agility, so that we could reprioritize and adapt the business to the new environment, and finally, delivering financial performance and value share gains.  When it comes to the first, we rapidly implemented global best practice and precautionary measures at all of our locations to keep our people and others safe. With the safety of our people as the foundation, we were able to keep our customers supplied as we quickly adapted our route-to-market, be it physical or digital, to the changing environment. Our supply chain has been fully operational every day since the start of the crisis and all our production facilities continued to be open.  All this is a reflection of the strength of our culture. It is impossible to buy or suddenly create the commitment and the genuine care that our people showed to each other and their stakeholders. It is said that a crisis like this reveals the culture rather than shapes it. I'd like to offer sincere thanks to all of our people, our customers and suppliers whose partnerships are invaluable, as well as those working on the frontline, serving their communities, who have all made such an extraordinary effort through this time.  Having secured safety, supply and service across our stakeholders, we were quick to reprioritize our opportunities to maximize performance. We had a razor-sharp focus behind streamlined priorities which dictated our choices for optimized investments and resource allocation.  We prioritized to invest optimized funds behind our highest potential growth markets. We had the flexibility to shift production quickly, providing the right packs and categories to meet the changing needs and new buying patterns of our consumer base.  We saw an opportunity in at-home occasions, which were growing as consumers replicated their out-of-home experiences at home. Sparkling was prioritized as the most important growth driver for our business, and we have seen the relative strength of the category this year.  At the same time, we have seen significant growth in e-commerce and have further accelerated investment behind that. The strength of our revenue growth management and route to market capabilities proved, also in these challenging circumstances, as invaluable in steering our business.  Finally, we were determined to protect the health of our business by focusing on the three metrics that matter most in a crisis – cash, profit and value market share. We achieved strong results on all three. We have gained 40 basis points of value share in non-alcoholic ready to drink and 30 basis points of value share in sparkling, with market share gains in the majority of our markets.  These share gains translated into strong financial results. 2020 like-for-like volume declines were contained at 4.6% after a notable improvement in the second half, with a good recovery in Q3 and resilience in Q4.  Price/mix also saw a stabilization of trends in the second half with the benefit of improved trends in package mix as well as continued strong category mix and the benefits of pricing taken at the start of the year in several markets.  We achieved strong performance on profitability, with like-for-like EBIT margins at 10.6%, down only 20 basis points from the all-time high. The significant restructuring work done over the last decade has built a business that is more resilient, with lower fixed costs which can withstand revenue declines, while quickly protecting profitability. And we did move quickly, identifying and delivering €120 million of cost savings early in the crisis.  This performance on profitability, in combination with agility on working capital management has translated into the generation of €54 million more free cash than the year before.  In light of our business' strength and confidence in future opportunities, I'm pleased to say that the board has proposed a dividend of €0.64, a 3.2% increase compared to last year.  It is because we used our 2025 growth strategy that we were clear on what would enable our long-term success and we could also be clear on what we needed to adapt in 2020 to ensure we kept on our path.  Each of the prioritized initiatives and actions that we took in the unprecedented circumstances of 2020 were fully in sync with the strategic growth pillars that we shared in 2019. And in 2021, we will take a similar approach, adapting and prioritizing the most relevant initiatives within our pillars as the situation dictates.  Now let me move on to share some more detail on the trends we see in our top line performance. Despite the fact that we saw a resurgence of the virus in our territories in the fourth quarter, like-for-like volumes fell only 0.7%. The ongoing growth from the at-home channel throughout the second half of the year is a key driver of this performance.  While in the first phase of the pandemic, we saw volume declines in this channel. Since then, we have seen an improvement in trends, with the channel returning to mid-single digit volume growth in July and sustaining that growth through the second half. We can also see that the channel is gaining momentum in the last quarter, given the tougher comparative from the strong trading in Q4 2019.  The out-of-home channel was, and continues to be, significantly disrupted with hotels, restaurants and cafes impacted by legally required restrictions. Our teams remained nimble throughout the year, managing large fluctuations in trading.  During the third quarter, the out-of-home saw a quite solid recovery with volume declines in the high-single digits. During the fourth quarter, the channel was trading down in the mid-teens.  This fourth quarter performance is encouraging because it presents a more positive picture than we witnessed at the start of the pandemic, when April volumes were down 70% to 90%. It is notable that while cases in Q4 in our territories have actually exceeded the April levels, trading in the out-of-home channel has been much more resilient.  Another key driver of the volume resilience has been the performance of the sparkling category. In the crisis, we saw consumers gravitating towards sparkling and tried and tested brands, in particular trademark Coke.  Partnering closely with The Coca-Cola Company team, we invested behind that, placing our joint marketing investment where it would have the maximum impact. The breadth of our brand portfolio in sparkling, as well as the flexibility of our pack-price architecture, mean that we have tailored offerings for different consumers and addressed both premiumization and affordability in a balanced and profitable way.  For example, we are seeing good results from multi-serve entry packs that target affordability for the consumer at an attractive revenue per case for our customers and ourselves. But we are also seeing higher priced packages and brands outperforming. Adult sparkling sells at a higher price point compared to the rest of the sparkling portfolio and saw volume growth of 3.2% in the year. This example reflects very well on the benefit from the strong revenue growth management capability we built over the last four years.  Energy performance has been strong, with volumes up 18% and growth across all markets in all three segments. Growth in energy is highly beneficial to category mix, given that even the affordable end of the energy category has a higher revenue per case than sparkling.  The stills part of our portfolio has been weaker. This in part reflects the fact that we over-index to the out-of-home channel in stills, particularly in water. This is a deliberate decision as in normal times it means more single-serve and therefore better revenue-per-case. But clearly, this exposure to the out-of-home had a negative impact on performance during 2020.  The most important driver of the decline in price/mix in 2020 has been reduced volumes from single-serve package formats as a direct result of the shutdowns. Similarly, the opening of the economies in our territories has been the most important driver of the stabilization of price/mix trends in the second half and we also expect that improving package mix will be the key driver of the improvement in price/mix once the out-of-home channel is able to operate more normally again.  As a company, we have been focused on selling increasing volumes of high-value single- serve packages for many years. Our strong track record has been visible in improving single-serve mix, which we grew by over 1 percentage point per year between 2015 and 2019.  Aside from recovery in the out-of-home channel, we are also working to drive growth in single-serve package formats for at-home consumption occasions where we see a strong opportunity for greater penetration.  These packs offer a clear premiumization opportunity with attractive economics for both our customers and ourselves and provide shoppers with pack sizes that are more relevant for smaller-sized baskets as well as a more hygienic option for social occasions.  We are focusing in particular on multi-packs of single-serves which work for the at-home channel and prioritizing opportunities in the socializing and meals at home occasions. We are seeing encouraging early signs, with volumes of multi-packs of single serve in the at- home channel up 12.9% in Q4 after a 4.9% increase in Q3.  At a country level, performance continues to be influenced by two main factors. First, the severity and length of the lockdowns in the market; and second, the exposure of that country to the out-of-home channel and tourism. For our business, there are some clear themes between the segments, and we have seen those themes continue through the year. This means our strongest performance has been the Emerging segment, followed by the Developing segment, followed by the Established.  Given these underlying conditions, we carefully prioritized investments behind markets based on where we would find the best return. While, of course, we always aim to direct our investments towards the highest return projects and markets, this year we consciously focused on making these prioritization decisions more rigorous. Given the strong growth potential we saw, and continue to see in Nigeria and Russia, we prioritized those markets for investments with strong results.  Most of our Established markets locked down early and severely and have been more cautious in easing and have subsequently moved into tougher lockdowns in the second wave. Also, the majority of our countries in this segment generate more than 40% of their revenues from the out-of-home channel.  In the full year, Established markets volumes declined by 14% with volume decline ranging between high-single digit and low 20s. Price/mix was stable, benefiting from positive country and category mix, as well as pricing taken at the start of the year.  The Developing segment's currency-neutral revenue declined by 10.3%, with volumes down 4.4%. Our Developing segment as a whole derives less of its revenues from the out-of-home channel. It also benefited from strong performance from Poland, the largest country in the segment. Poland achieved high-single digit volume growth in sparkling, and energy volume growth in the high-twenties on strong market execution and some year-end stocking-up ahead of the sugar tax implementation at the beginning of this year.  Price/mix in the segment was impacted by the pack and channel mix deterioration and by the strategic decision we made before the outbreak to have less contribution to growth from pricing this year after several years of strong price/mix development. Price/mix declined by 6.2%, showing an improvement in the second half.  Our Emerging segment continues to have the best performance in the group with FX- neutral revenues down 2.8% like-for-like. Within the segment, three of its largest markets grew volumes in 2020, with Nigeria up 13.5%, Russia up 1% and Ukraine up 3%. Volumes for the segment were up 0.3% like-for-like.  Price/mix in the segment declined by 3.1% like-for-like, impacted by country mix due to the strong volume performance in Nigeria, as well as the pricing investments made in this country at the end of 2019.  When it comes to innovation, we are in full alignment with The Coca-Cola Company on the importance of prioritization We are applying a more disciplined approach, investing behind more scalable and economically attractive innovations, while also actively gathering and acting on learnings, and making conscious choices to eliminate underperforming and unprofitable brands and SKUs.  With this mindset, we launched Costa Coffee in May and we are now live in 14 markets. Early indications have been positive, with customers showing a lot of enthusiasm for this high-quality product and we are seeing good results on repeat orders.  Having had the experience of selling a full portfolio of coffee in several of our markets through our previous coffee partnership, we believe we are uniquely positioned as a partner of The Coca-Cola Company to target all channels across our markets with Costa Coffee.  We have a full range of product and packaging offerings including whole beans, roast and ground coffee, coffee capsules, ready-to-drink coffee, and vending barista quality coffee via Costa Express machines. Our launches to date are primarily in the at-home channel, but we are excited about the potential in the out-of-home channel, which will be a key focus for 2021. Our plan is to roll out the brand in the rest of our territories over the next two years.  We also launched Topo Chico Hard Seltzer in five markets in the last two months of 2020, being one of the first launches globally. While on a different scale to Costa Coffee, this is an important strategic launch into a new category and it provides a good example of the approach I've just mentioned, since Topo Chico is a consumer relevant, scalable and economically potent product.  One of the most important issues for our stakeholders is packaging. As we work towards delivering our World Without Waste sustainable packaging goals, competitively priced, quality recycled PET feedstock continues to be in short supply.  We are committed to proactively addressing this challenge, so that we can deliver on our rPET targets. One of the ways that we are doing this is by investing in in-house capacity to produce recycled PET bottle preforms from hot-washed PET flakes.  Hot-washed PET flakes are produced from washed and shredded post-consumer PET bottles, which are more widely available at a lower price than food-grade rPET pellets. This inhouse capacity will also help us to reduce energy consumption for 100% rPET preforms by 40%. Our first investment has been in Poland, and we have plans to add this capacity in Italy in 2021.  Another challenge in the creation of a truly circular economy is inadequate collection infrastructure. We support well-designed, industry-led collection schemes; and for many of our markets, deposit return schemes have been shown to allow high collection rates, allowing better availability of recycled PET feedstock.  We are investing to support modelling studies to design the most efficient, high performing collection systems in our markets. And in 2020, we funded or contributed to 10 new modelling studies to help design the most efficient, high-performing, collection systems for these countries.  And we are also partnering with innovative new approaches that harness app and blockchain-based technology as a complementary solution to packaging collection.  I will now hand over to Michalis to take you through some more detail on the financials.
Michalis Imellos: Thank you, Zoran. Good morning, everyone. In line with our practice, unless specifically stated, I will refer to like-for-like comparable figures which exclude the impact of restructuring costs, the mark-to-market valuation impact of commodity hedges and specific non-recurring items. They also remove the impact of the deconsolidation of our Russian juice business and the Bambi acquisition.  Zoran has already taken you through the drivers of our top-line performance, so I will just summarize the highlights before digging into the drivers of our profitability and cash flow.  Like-for-like volume declines were contained at 4.6%, with quarter three up 1% and quarter four down 0.7%. Price/mix also saw a stabilization of trends in the second half, with the benefit of improved trends in package mix, continued strong category mix, as well as pricing taken at the start of the year in several markets.  Like-for-like currency-neutral revenue declined by 8.5% compared to the 15.1% decline in the first half, despite the resurgence of the virus in many of our territories. The negative impact of foreign exchange translation on revenues was 320 basis points, driven mostly by unfavorable movements of the Russian ruble, which resulted in a reported revenue like-for-like decline of 11.7%.  We have taken advantage of every opportunity to control our cost base and this has allowed strong performance on profitability in a challenging year. Our EBIT margin on a like-for-like basis closed at 10.6%, just 20 bps down from the all-time high marks of 2019 and 2007.  We are all proud of this performance. It proves that Coca-Cola HBC is a much less operationally geared business compared to a decade ago. This flexibility in our cost base allows us additional confidence in the return on our future investments.  What you can see on the slide is our revenue growth compared to the EBIT margin evolution since the all-time-high EBIT margin of 10.8% shortly prior to the onset of the global financial crisis in 2008.  While in the early part of this period, weaker top-line performance had a profound impact of 440 basis points decline on margins, the significant actions we took in the first five years of the crisis to reduce our fixed cost base, have brought us to the point we evidence today – another serious crisis affecting the top-line performance has resulted in just 20 basis points of margin loss from the fully recovered margin level of 10.8% in 2019.  These restructuring actions of the past years included optimization and automation of the production and logistics infrastructure, extensive outsourcing on the distribution front, common systems and processes across the footprint, process centralization and creation of shared services platforms, and continuous digital transformation and big data analytics utilization.  And we never stop to look for efficiencies and opportunities to further streamline. At the same time, we are fast to identify and execute cost savings initiatives when the times call for them, such as the €120 million of savings delivered in 2020. Like-for-like gross profit margin was up 20 basis points year-on-year. Careful management of commodity costs, combined with the favorable early hedging of the majority of our transactional forex exposure and a low oil price backdrop have allowed us to benefit from lower input costs, especially on PET resin, while preserving our cost of goods sold from forex volatility. As a result of this, like-for-like currency-neutral input cost per case was down by 5%.  We had a €66 million headwind to our EBIT from currency depreciation, in line with expectations. This forex impact is mainly associated with the weakening of the Russian ruble.  Moving to OpEx. As mentioned earlier, we acted immediately to make significant cuts to discretionary expenditure, finding €120 million of cost savings in 2020 versus our original plans. We reduced marketing, seasonal labor, consultancy and contracted services, travel, meetings and events, and put in place a general recruitment freeze. This quick action has helped us to control OpEx, which declined by 10.4% like-for-like, compared to the prior-year period.  This resulted in just 40 basis points increase in OpEx as a percentage of net sales revenue, which closed the year at 27.3%, a strong performance considering the de-leverage from the revenue decline of 11.8%. And despite the unprecedented circumstances, very close to our 26% to 27% guided range of our original target set back in 2016 at our Capital Markets Day.  Like-for-like EBIT declined by 13.5% and like-for-like EBIT margin of 10.6% declined by only 20 bps compared to prior year. The reported margin reached the 11% level, boosted by the accounting change of deconsolidation of our Russian juice business and the accretive impact of the Bambi acquisition.  Financing costs increased by €3 million compared to the prior-year period due to the change in the accounting treatment of Multon in addition to lower deposit rates, partially offset by lower interest rates on our bonds. In 2021, we expect financing costs to be lower by around 10% compared to 2020.  Our comparable effective tax rate increased this year due to one offs that we do not expect to repeat. That said, given anticipated changes in country mix, we expect that our comparable effective tax rate will be in the range of 25% to 27% going forward.  We generated €497 million of free cash flow, an improvement of €54.4 million compared to 2019. The primary contributor has been working capital improvements, which reflect both excellent operational management of receivables in a very risky year, as well as significant phasing benefits.  Towards the end of the year, several of our larger customers chose to pay invoices not yet due early, rather than hold cash, and this has pulled forward some collections into quarter four that would have otherwise materialized in quarter one 2021.  CapEx of €464.5 million was lower by €19.1 million compared to 2019. During the year, we prioritized our capital allocation towards the markets with the highest potential, allowing us to continue to support and invest in the business for the long term.  The strong working capital performance allowed us to limit CapEx deferrals and bring forward €40 million of CapEx spend. As a result, CapEx as a percentage of revenue closed at 7.6%, at the upper end of our 6.5% to 7.5% target range.  Turning now to the margin drivers on a segmental basis. In our Established markets, comparable EBIT declined by 18.4%, with comparable EBIT margin down by 60 basis points. The main driver of this was negative operating leverage, given the revenue declines in the segment.  In our Developing markets, comparable EBIT declined by 30.3% and comparable EBIT margin was down by 210 basis points to 8.7%. The larger margin decline in the Developing segment compared with the Established segment is due to the larger decline in price/mix seen in this segment for the reasons described earlier. Price/mix decline has approximately a 3 times more adverse impact on margins compared to that from volume declines.  The Emerging markets' comparable EBIT increased by 1.4% and comparable EBIT margin expanded by 170 basis points to 13%. The net impact of the Bambi acquisition, the deconsolidation of our Russian juice business and changes in the accounting of other joint ventures account for 100 basis points of this growth, so like-for-like margin in the Emerging segment improved by 70 basis points to 12%. This was the result of strong top line leverage from Russia and Nigeria, as well as benefits from input costs and forex hedging.  Let me also provide you with an update on our balance sheet, which strengthened further, despite the difficult circumstances of the year. Our net cash position at the year-end was €1.3 billion. In addition to this, we have over €800 million of our commercial paper facility unutilized, as well as the untapped €800 million revolving credit facility in place. Our next bond maturity is not until November 2024. In short, a very strong balance sheet position.  This provides us with considerable firepower to continue to invest in the business, both organically behind the many opportunities we see in our markets, as well as inorganically as the opportunity arises.  It also allows our board to recommend an increased dividend in 2020, to €0.64 a share. We are pleased to be able to continue growing dividends, even following such a challenging year.  Before I hand over to Zoran for the outlook of this year, let me briefly explain the slide you see on your screens, which will hopefully help you with your modelling. It summarizes the material one-off adjustments that distort comparability for key P&L lines between 2021 and 2020, as well as for 2020 versus 2019.  First, the accounting change in the way we consolidate Multon since May 2020, and the accounting treatment of other similar joint ventures, had a significant impact last year versus 2019, and will also have a residual impact this year versus 2020 on volume and revenues, but not on EBIT margin change.  Second, the Bambi acquisition of late June 2019 had an impact in 2020 versus 2019, but as it was fully cycled from July 2020, it has no impact in 2021 versus 2020 as it is now part of the organic performance.  Third, the extension in the useful economic life of certain assets and the year-on-year reduction in depreciation that it generates as of 1st January, 2021 has a positive impact on EBIT and EBIT margin.  Last, the introduction of a sugar tax in Poland from 1st of January 2021 and the pricing taken to pass it to the consumer has a significant effect this year versus 2020.  With that, let me pass the floor to Zoran for the year's outlook.
Zoran Bogdanovic: Thank you, Michalis. The economic outlook remains uncertain and the future impact of mutated strains of the virus or delays or difficulties in the roll out of the vaccines could impact our markets in the future.  After a resurgence of infection rates and government restrictions in many of our markets at the end of last year and the beginning of this one, we see frequent adjustments, both to easing and to increased restrictions. We are constantly monitoring the situation and will continue to prioritize our investment behind the highest potential markets, channels and brands to maximize evolving opportunities.  While we recognize the uncertainties, we are encouraged by our resilient performance and value share gains in 2020. We expect to see a strong FX-neutral revenue recovery in 2021. This recovery is based on our expectations of a gradual volume recovery as well as price/mix recovery predominantly driven by improved package mix.  We would also expect price/mix to be inflated by pricing taken to offset the Polish sugar tax. This is premised on our view that the trading environment will be challenging for Q1, and very likely in Q2, but that it will start to improve in the second half of the year. We expect to be able to have another year in which we achieve strong cost control, which we will be able to adjust depending on the trading environment and which will allow us to manage our profitability.  We plan to increase investment in marketing to support our topline recovery and expect high-single digit inflation in raw material costs as well as that the negative impact of foreign currency on EBIT will be higher in 2021 than in 2020. With all that in mind, we believe that we will be able to achieve a small expansion in our like-for-like EBIT margin versus 2020.  Looking further ahead, beverages continue to be a high potential industry and we see many growth opportunities leveraging our evolving portfolio. We are also blessed by the markets we operate in, with the great growth potential of our Emerging segment and the resilience of the Established segment providing a good balance. This is why we do believe that once the recovery is underway, the business can return to the growth algorithm we set out at our Capital Markets Day in 2019, which was for FX-neutral revenue growth of 5% to 6% with a 20 basis points to 40 basis points of EBIT margin expansion per year on average.  In conclusion, while alert to the risks and continued lockdowns in our markets, we are also encouraged by the strong business results in 2020 and we will continue to adapt to win in 2021 and beyond. Thank you for your attention. Apologies for a couple of technical glitches. And now, I will hand over to the operator. And Michalis and I will be glad to take any questions you may have.
Operator: [Operator Instructions]. The first question comes from the line of Simon Hales calling from Citi. 
Simon Hales: A couple for me really. The first question was just around the outlook, again, as we're headed into 2021. You talked about a difficult first half across your European markets. I wonder if you'd give a little bit more color as to perhaps anything you can say about sort of Q1 trading, how it's moved versus Q4? Any numbers you could throw at us and maybe a little bit more detail as to the assumptions you're making around the speed of reopening of the out-of-home markets in some of your different key regions or key markets? 
Zoran Bogdanovic: You are spot on. So, exactly, as we said, we do see that Q1 is a quarter that's very similar to Q4 in terms of lots of restrictions across a number of our markets, which mostly affected out-of-home. And that's what we are seeing. As I said, we do see that some countries are slowly loosening like Italy. On the other side, you have some markets like Greece that are tightening. However, we have adjusted and adopted the way we play in the market given that new reality. And we do see that trading of this year started on an encouraging note, continuing what we saw in Q4, particularly in November and even more in December as at-home continues to perform quite well. So, we've seen in January a pretty consistent, good, encouraging performance, led again by sparkling, which grew in all of our markets. And we also see that February also started on an encouraging note as well.  Speed of recovery, as I said, it's hard to predict. We do see, as everyone else, that vaccination rollout is not going fully at the pace as we all hoped. However, we do see that, week by week, more and more it is happening. And therefore, we have assumed in Q2, in modeling of this year, that Q2 will start seeing some easing. And in Q2, as a reminder, we will be cycling very low Q2 of last year. And that's pretty much.  Last point, I would say, as I said in my intro remarks, is that even though we see that a number of HoReCa outlets are closed in so many countries, however, more and more customers by month has started working on deliveries to home. And we are in sync and very close to our customers in supporting them doing that. So, that's one example of how, to new reality, we are adapting, and that's also part of our modeling for the year. I hope that answers, Simon. 
Simon Hales: Can I ask a second question just around the margins. Obviously, you were guiding towards some slight margin improvement in 2021. Obviously, there's lots of sort of technical effects on the headline margin. When all is said and done, do I read that when I think back to the 10.8% margin in 2019, are you still confirming that, in 2021, you expect to be back at or above that 10.8% on a proper like-for-like basis, if you like? 
Michalis Imellos: Yes. As we have said before, we see no reason why, in 2021, we will not be back at 2019 levels on a like-for-like basis. As we said, in 2021, on one hand, we have strong tailwinds when it comes to, overall, the revenue growth recovery. Package and channel mix within that being the most important driver as well as continuing the strengthening of the category mix and also some pricing opportunities that we will drive in the year. And of course, the ongoing cost efficiencies and savings that we are driving, as well as some positive country mix as the Established markets will recover from the deeper declines of 2020.  On the other hand, headwinds will come from the input cost because that we expect to swing to high single-digit growth in 2021. And the acceleration of FX, particularly transactional FX compared to 2020. So, these are the two sides of the opposing drivers on the margin. And yes, we do confirm that we would expect that we can be back to 2019 levels on a like-for-like basis. 
Simon Hales: And maybe just finally, obviously, you finished the year with a strong balance sheet position again. Wonder if you could just maybe talk a little bit about the inorganic opportunities that may be out there. Are you seeing more things coming across your desk that could be of interest? Could we expect to see some deployment of the balance sheet inorganically sort of this year? Or are you going to keep your powder dry until we've got a bit more of a firmer trading footing? How do we think about use of the balance sheet generally in 2021 and beyond? 
Zoran Bogdanovic: Simon, I will start. Michalis, please add if there is anything more. Simon, we do say that we really want to leverage the strong balance sheet and firepower for investments into the business primarily, and as you said, inorganically also to capture some of the opportunities. I want to reiterate that we are fairly busy with a couple of things that our teams are exploring, working on, et cetera. And we all believe in pushing for some form of cash investments in that direction. And I hope that we will be able to materialize some of those this year. 
Operator: The next question comes from the line of Sanjeet Aujla calling from Credit Suisse. 
Sanjeet Aujla: Just firstly on the Polish sugar tax, I think you had a benefit in Q4 from a trade load ahead of that. Can you just talk a little bit about how volumes have responded year-to-date to that price increase relative to your expectations and how you expect volumes to play out over the course of the year?  Secondly, on Nigeria, Q4, again, very strong growth on a high comparative. I think you were cycling very strong growth from Q4 2019. How do you assess the strength of Nigeria in light of the macro dynamics? Any color there would be useful. I appreciate if you can share. Yeah, those are my first two questions, and then I've got one more follow-up. 
Zoran Bogdanovic: Poland, as per plan, sugar tax started. So, a new phase of beverage industry in Poland is on. And so, sugar tax in place from January 1, which means that we have passed it on, as we said, that we will. That has caused a price increase in the range of – in average, 25%. And we see also that other players, basically, the industry is doing the same thing of passing on that taxation through the prices.  Of course, we always say that that kind of taxation does provoke a short-term volume impact, and this is what we see from January and through February so far. I have to say that, of course, there is a volume decline in Poland in double-digit terms. However, the level and magnitude of decline has been fully in line with our expectation. And we do model and expect this year that Poland will be in some negative neighborhood of mid-single digits. So, that's our forecast, which is fully – that's what we forecast.  And so far, just to reiterate that everything is as we have planned, and I feel pretty confident with the fact that the team has done a fantastic job in preparing, leveraging all the learnings on similar situations from Hellenic – for example, Ireland, as well as taking learnings from other markets outside of our territories. So, on that one, that's the brief summary.  On Nigeria, I can start maybe by saying that we are very encouraged with the fact that trading of 2021 shows the continued momentum that we have seen in 2020. 2020 has been excellent year in Nigeria. All months have been double-digit except for May and April because of COVID and October because of this End SARS project that were happening there. So, Nigeria finished on a very strong note last year, especially in November and December, and even more cycling very strong comparables. And January and February has been also very strong performance so far.  We don't see at the moment anything that would really cause any concern in terms of the economic environment, et cetera. I would say, usual things. Reminder, this is a classical emerging market. However, I feel really confident with the fact that our capabilities in Nigeria are constantly enhancing, both on the technical side, capacity side, but even more importantly, capabilities that we focus on with big data, advanced analytics, revenue growth management, route to market and evolution – a targeted evolution of our portfolio in the country, balancing both affordability and premiumization. Those are, in a nutshell, a couple of things that give me a very good confidence for Nigeria for 2021. 
Sanjeet Aujla: And then just picking up on Nigeria again. Just would love to get your thoughts on the competitive landscape at the moment, particularly around the pricing side. How is that panning out? And are we seeing a bit more of a return to price rationality? 
Zoran Bogdanovic: Yes, you used a very good word, price rationality. So, after the investments we've done in 2019 into pricing, we have seen that that really yielded even better results than we were hoping for. That also caused, I would say – that last year, there has been industry conduct where not only us, but also other players started to do positive movements with the price. We've also realized – and leveraging even better insights And then RGM recommendations that we started deploying various regional pricing adjustments, which then we also saw that other competitors in the market followed. So, I would say last year has brought some positive trend on the pricing level, which is for our benefit, but I think it should be also for the broader benefit of the whole industry. And I do believe that also this year, we'll continue along those lines. 
Operator: The next question comes from the line of Natalia Svyriadi calling from Eurobank Equities. 
Natalia Svyrou Svyriadi: Well, as we said, it's a challenging year. Any of your thoughts around the Olympics and potential postponement in the other games are due this year? And if you have actually these in your – thought in your numbers? Are they in what you were thinking in your EBIT margin drivers for FY 2021? And what we should be expecting there? 
Zoran Bogdanovic: That's a $1 million question. Well, we don't have yet any official thing that Olympics will not happen, but I think it's reasonable to say that chances of them also not happening are there. Together with Coca-Cola Company team, we have prepared both scenarios, with Olympics and without Olympics. Also, in the case when Olympics happens, that doesn't mean that it gets activated in every single market because in some markets, this has more potentiality. In some, a little bit less. However, we do have ready-made plans in case it does proceed and we are fully ready to deploy alternative plans if the reality will dictate.  So, last point on margin, I wouldn't say that, in this year, this gives anything material for the group. This is type of property that not only gives us a possibility to activate in the current year when it happens, but this helps us also to strengthen our relationship with customers and gives us also the benefits for the coming years. Even if it doesn't happen, no worries that this is having any material impact on the margin. 
Natalia Svyrou Svyriadi: And maybe could you give us an indication of your CapEx expected investment plans? But you said you're going to have a development in the Costa Coffee and which markets we should be expecting coming next? And any other identified opportunities there? 
Zoran Bogdanovic: I'll start with Costa and then Michalis will cover CapEx. So, with Costa, as you see, in seven months, we've been with a steady pace penetrating and now being live in 14 markets. Let me just say that this reflects our absolutely strong belief in the category and also in Costa brand and product proposition. And that's why we have already this year another pool of probably four, five, six next markets that are in the pipeline to get ready.  What does it mean? That means that before we start, we already recruit the team, ramp up capability, so that on the day when we launch, we are really truly, fully ready. So, that also means that not only that we are then creating our dedicated teams for this category, but also means equipment investments that we are doing in various types of machines that we are then using for customer penetration in bars, restaurants, et cetera, as well as those unique Costa Express vending machines with which deployment, we already started in several countries.  With that, I'll hand over to Michalis to answer your part of question on CapEx. 
Michalis Imellos: Natalia, in 2020, we spent, in absolute terms, less than 2019 as a result of the situation. In fact, as we were seeing during the year that the free cash flow was trending quite well, we brought forward some of the deferred CapEx spend that we had planned to do in 2021. We brought it forward in 2020 exactly so that we don't overburden this year. So, even with that, for 2021, in absolute terms, we will increase our CapEx spend because, to Zoran's point, our investment plan behind coffee, but also presuming our investments behind coolers is intact. And as a result, as I said, in absolute terms, we will have a growth in the CapEx. As a percent of revenue, it will be at the upper end of our guided range of 6.5% to 7.5%. 
Operator: The next question comes from the line of Ewan Mitchell calling from Barclays. 
Ewan Mitchell: I just wanted to confirm the very detailed guidance – thank you – on Poland and this depreciation move. So, essentially, those largely net each other out, and so we're looking at an 11% comparable EBIT margin versus where we were when we include the kind of the Poland sugar tax and this depreciation charge. Is that the correct way of looking at this now? 
Michalis Imellos: Ewan, exactly right. In terms of the sugar tax and the useful life extension and the impact on the depreciation, those two effectively cancel each other out. And from then on, if you look at the year-over-year impact of this Multon accounting change, this also has no impact when you compare it to 2020. So, effectively, the margin that we will report and effectively, the like-for-like margin will be the same. 
Ewan Mitchell: Just wanted to ask about the energy performance that seems to have really been a standout this year. Can you just give us a bit more color as to what's driving that, how you see it sort of playing out over the next couple of years and can you continue that momentum? Or is it more sort of channel shift based? 
Zoran Bogdanovic: Ewan, no, we strongly believe in the underlying performance and growth potential of the energy category. It's been consistently growing double-digit for last number of years. And actually, to see that energy again repeated that level of growth in a year like last year, I think that really speaks how strong the category is and how just it's getting on a good, fast track.  One of the reasons that I believe we've performed very well is because, first of all, our ability to execute that category and execute portfolio of the brands that we have probably uniquely globally. As you know, with Monster, we have Monster as a mainstream. There is also Burn as higher price proposition. Then there is a Predator, which we launched last year, which by the way now in Nigeria is performing really, really well. And that's hitting the affordable level of the energy. And then also there is Coca-Cola energy from the Coca-Cola Company portfolio, which is really on the premium segment.  So, we are really hitting various consumer segments with various brand propositions. And I think that's really enabling us to continuously penetrate, have more consumers in the category and leverage exciting activations that each of those brands offers.  Just to illustrate how also it's important for us in the value terms. In the volume terms, energy is approximately 2% of our volume. However, it's more than 5% in our revenues. And this percent or contribution in our total mix is continuously every year increasing. And I really believe that it's going to continue also in the coming years. 
Ewan Mitchell: Perhaps just a quick follow-up on that one about the opportunity that coffee sort of presents to you. You touched on it in the presentation, but sort of pretty much coming from a standing start with the Lavazza contract ending and not being able to roll out Costa as quite as fully as perhaps you would like. Where do you see that sort of getting to over the next sort of midterm in terms of percentage of the portfolio and how significant it could become for you in terms of revenue? 
Zoran Bogdanovic: So, our play with the previous coffee partner was limited to only five markets, whereas with Costa, we are going full-fledged. The plan is that we go everywhere. And I think we have even broader portfolio and also technical capabilities to really have a variety of propositions for all possible channels. That's why I really think that we are with the right artillery for this category. Category in itself is almost as worth. It's 75%, 80% of the value of the whole non-alcohol ready-to-drink. Of course, there is also a segmentation of various levels within that coffee. We are shooting for the higher mainstream borderline premium, and that's enormous revenue and profit pool. However, this has to come with the patience of how we are building this capability. We started last year. We continue this year together with Coca-Cola Company/Costa, which is obviously now one. We really have a well-developed long-range plan. Costa Coffee is going to be a significant contributor to our growth. And it's hard to say at the moment what's the exact number. However, we have very, very ambitious, I would say, exponential plans over the next few years. But we want to be mindful that we build this in a highly quality way because this also has to have the right proposition, the right marketing, so that we not devalue the brand, but actually position it in the way this high-quality product should be.  So, to give you a little bit more concreteness, I'm absolutely sure that, over the next couple of years, this is going to be, for sure, €100 million plus and a couple of hundred million of revenues. And patiently, we will also build this, so that, eventually, this category, down the road, I would say, maybe three, four, five years down the road has to be also margin accretive, which you appreciate that, at the moment, it's not because this is all about how we ramp up and build the business where we are investing ahead of the curve to be able to do the proper job. Does that help, Ewan, to understand? 
Ewan Mitchell: One last one, if I may. The rPET investment that you've made to clean pallets and up-cycle them, can you just give us an idea as to kind of the extent across your geographic portfolio as to where that's happening, how much the kind of the cost is and where you see it going from here in terms of expanding that to meet your rPET targets? 
Zoran Bogdanovic: This helps us with two levels. One is that, even before this investment that I referred to, we've been buying preforms from rPET and we started with already 100% of our portfolio and four water brands are already there. However, we really want to accelerate, and that's why this investment in Poland, which helps us to have rPET at more competitive prices, also being able to produce more, as I described, so not to repeat. And we plan to accelerate this. I mentioned Italy as the next one, but there is also one or two other locations which are in preparations that we want to do the same thing, so that we can really deliver on our commitments and targets latest by 2025, if not earlier. But that also depends on also how we are working with countries on the collection systems through industries. That's why I made it consciously the reference on the collection systems because it's all interconnected in this ecosystem of improving the whole waste management where rPET is only one part. And therefore, we are taking these innovative conscious investments behind our own capacity to do that. Does that help? 
Operator: The next question comes from the line of Jon Leinster calling from Société Générale. 
Jonathan Leinster: A couple of really slightly dollar counting questions, if I may. First of all, the share of integrated equity companies that added €21.4 million to comparable EBIT, so that presumably includes €2.9 million from Multon. That's clearly been added into the margin. So, is that within the margin target going forward as well? 
Michalis Imellos: Yes. The answer is, yes, it is. It was previously part equity accounted below EBIT. So, it was part of profit after tax and EPS. Now with the new accounting treatment, it's part of EBIT. 
Jonathan Leinster: So, that added around about 30 basis points. Presumably, that includes the €2.9 million from the Russian juice business? 
Michalis Imellos: And that's what you have seen in the slide, this whole Multon accounting change joint ventures accounting for the 30 bps. It was effectively for the full year of 2020. It will be also in 2021. So, between 2021 and 2020, it makes no difference because it's exactly the same impact. 
Jonathan Leinster: The €21.4 million, that's €2.9 million for Multon and then there's others in there as well? 
Michalis Imellos: We have a detailed disclosure in the press release about this. 
Jonathan Leinster: Secondly, just on the useful economic life. Just to be clear, so depreciation will be down roughly about €25 million. Is that from extending the life? Or is that from lower depreciation rates? Or is that from a – is that from something being written off?
Michalis Imellos: No, we undertook a study to compare the actual useful economic life of various asset classes compared to what we use to depreciate them in the books. This was quite a long project, which concluded that the actual economic life – useful economic life was higher than what we were using in the books. And as a result, we have changed the depreciation rates starting from 1st of January, 2021. And that gives a benefit year-over-year in 2021 versus 2020. But obviously, the value of the assets is the same. It just will take a little bit longer to fully depreciate. 
Jonathan Leinster: Lastly, you mentioned, obviously, in 2020 that you'd actually increase prices on a number of products at the sort of start of 2020. And obviously, you've had the pass-through in Poland. But other than Poland, has COVID meant that there's been less price increases? Or has there been any price increases in the start of 2021? 
Zoran Bogdanovic: Jon, it's Zoran. So, no, COVID did not result in the fact that we could not take pricing as well as we've seen also other players in the market. So, the simple answer is not. It's only that COVID brought additional variable in the whole revenue management planning and design, so that we have to take into account possibly different sensitivities as well as attractiveness of various packages. So, it just brought another element, but it didn't stop us from doing that, especially because various countries have their own different dynamics. And our whole PET price architecture is unique for every single country, and that's how we play it. And as you know, COVID did not have the same level of impact on consumers in every single country.  Also, our plan for 2021 is that with – as a part of our algorithm to drive the top line growth, specifically in the price mix, yes, there is an element that we plan to take some pricing as well in 2021. 
Operator: The next question comes from the line of Fintan Ryan calling from JPMorgan. 
Fintan Ryan: Just three relatively small questions from me, please. So, firstly, the increase in your absolute dividend spend, proposed dividend for this year, payout ratio going up by roughly about 10% year-on-year. Is this a change to your long-term payout ratio, which I guess have been quite stable for many years in advance of that? And how should we think of dividend going forward, I guess, either in absolute or as a percentage of EPS? 
Michalis Imellos: At this point in time, it's a temporary increase of our payout ratio, exactly reflecting the confidence we have that the business is returning to more normal EPS growth trajectory from 2021. So, we didn't want to – and the board didn't want to reduce the dividend exactly to reflect this confidence in the recovery. So, it's a temporary increase in our payout ratio, which will smoothen out over the coming years. 
Fintan Ryan: Second question, just in relation – I appreciate you've given a lot of color on the impact of the sweetener tax in Poland. Wondering could you provide any updates on the other taxes sort of in your – the rest of your geographies? I appreciate the Italian sweetener tax has been pushed back, at least from the 1st of July. So, is there anything else that we should be thinking about certainly as we start modeling the outer years and other potential disruptions to come? 
Zoran Bogdanovic: Fintan, as you said, Italy, that was the most critical one, that it moved to next year. Nothing imminent that we know that would be happening. So, nothing that's actually forecasted or estimated from our side that might impact this year. But needless to say that this is a topic that we constantly monitor. And as soon as we see anything anywhere happening, we apply now very good Developed approach that Ireland followed, Poland followed. So, we're always ready to adjust and adapt in case something happens. But at the moment, apart from Italian case, I don't see anything really coming up. 
Fintan Ryan: Finally, on Topo Chico, I know you said it's now in five markets. Can you give us a sense of like how – what your plans are for the expansion of that brand or even just sort of wider RTD alcohol beverage space across the rest of geographies during 2021? And I guess, similar to what you said, just earlier on the question with regards to Costa Coffee economics in the long run, do you have any similar ambitions specifically for Topo Chico and RTDs? 
Fintan Ryan: Number one, Topo Chico in five markets, this is a type of product because it's a new emerging category, which has varying degrees of development across markets. Like in Ireland, it's already there, similar to UK. So, that kind of follows the US pattern, whereas in some other markets, we are actually opening or are at the very beginning of the category start.  Now, we do have a positive customer feedback, consumer feedback. We only recently started in the second part of Q4. So, it's still too early to make any more significant conclusions. However, I really can reiterate that consumers and customers, which is most important, are recognizing that it's a high-quality product, and we are encouraged, so that we will continue this year with a couple of other markets. One of them is Switzerland because that's also a type of market that can fit well for this type of product. We believe it's a high potential category definitely in few targeted markets and of high value. Economics behind this product, both for Coca-Cola Company and us, are very good. It's a little bit of a different type of approach versus Costa because Costa being really a type of a product that goes across all channels, has a little bit more specifics for category knowledge expertise, the necessary equipment that you need for certain channels. That's why the kind of a machine building for coffee category is different versus doing ready-to-drink products like Topo Chico, which has three flavors in 1 pack size. That's why it's very different variables which are driving economics. But Topo Chico does fit the spec of the new innovation approach that Coca-Cola Company and us are doing, that it is scalable, that it is consumer-relevant and that economics are healthy. 
Operator: The next question comes from the line of Edward Mundy calling from Jefferies. 
Edward Mundy: A couple of questions for me. The first is really around your medium-term growth aspiration of 5% or 6% – or 5% to 6% even. Clearly, a lot has happened over the last nine months or so. And the landscape is probably looking quite different to where it was back in 2019. Some things possibly better, some things possibly worse. Can you talk about the puts and takes around what gives you confidence in continuing to grow 5% or 6% over the medium term? 
Zoran Bogdanovic: Coming back, once the recovery and the new normal is there, which I really believe that it's going to come there, there are a couple of very strong reasons. Number one, that beverage industry in itself has – it's a high potential industry. And the growth – estimated growth rates of the industry itself have not significantly or have not materially changed from what was the estimate that we had before COVID as we are forecasting it and think about it once the new normal is there.  Secondly, the blend of our markets, where just emerging market's potential, population size in Nigeria, continuous growth of more affluent consumers in Nigeria primarily, but also in Russia, per capita that we have in a number of those markets, where taking them just to the average of Europe or to the average of our whole Hellenic per capita consumption is enormous opportunity. And there is no reason that we don't aspire to get to those levels.  Then we have analyzed a lot where are the revenue pools of various categories. And together with Coca-Cola Company, we have made our portfolio choices. That's why you see so much innovation happening in the sparkling with the reformulations, with zeros, with flavors. Adult sparkling is tapping in the continuous trends of mixers, which is also complemented with our premium spirits portfolio that we distribute in almost all countries. Energy growth, you see evolution of the portfolio with coffee. So, the whole portfolio evolution is additional reason.  And then, when you think a little bit forward and when you see that new normal and when I compare that picture with how have we been a couple of years ago, we see a company that has a very different level of capability, ability to read the market, utilize abundance of data we have to generate insights with which we can make sharper, more segmented plans and execution in the market. So, capabilities ramp up and building is going to be another driver.  These are some of the critical things that I really believe that are there as a reason for those targets. Maybe one that one cannot feel, you can't touch it with your hands, but it's something that's also critical and that's the culture and strength of the team and the mentality of constantly searching for better, good is enemy of the great. And that's why mindset of continuous adaptability that I got so much confidence from for last year. As I said, you can't put a finger on it or a number, but it's evidently there and makes a difference of at least, in my belief, for the future.  Does that help, Ed? 
Edward Mundy: It brings on to the second question, which is really around this sort of theme of culture and operational agility. Clearly, you've had a decade of restructuring, and that's proven itself to be very effective in 2020, which is a particularly tough year for the top line to protect both your cash and your bottom line. As you come out of the pandemic and start to think more about growth, how do you sort of pivot and use that culture towards growth? 
Zoran Bogdanovic: Look, one of the critical elements there is the unsatisfied curiosity, where we – on one side, we constantly seek and search for the opportunities. Second element of that culture is ability to prioritize. And I think that's a critical quality in how we have evolved our behaviors, how we make choices, where we are definitely potential and impact driven. That's an important element.  Third element is the continuous learning and development that we put behind our people. I find that enormously important, to be able to capture the opportunities that are ahead of us. We cannot achieve that with yesterday's skills or yesterday's capabilities. We actually realize that our culture has to foster and nurture, building those capabilities in advance and coffee is such one example.  And maybe last is to promoting entrepreneurship and really allowing people and giving them space to operate, bring forward the ideas. So, to be able to act with speed and agility because, in our industry, it's not without a reason that it's called fast consumer goods because this fast really means that we have to act with speed and simplicity, which has to come from agility and constant adaptability.  So, I hope that little bit gives you a flavor of what's in our head. 
Edward Mundy: And my final question, and apologies if this got answered earlier as I dropped off the call. But on the balance sheet, clearly, you're at the bottom end of your range, net debt to EBITDA, which is likely to fall further as the recovery comes through in 2021. Can you just remind us at what stage you start to think about capital returns in the form of special dividends? 
Michalis Imellos: Ed, let me take this one. Nothing really has changed to how we have been utilizing and allocating capital, how we've been utilizing the balance sheet and allocating capital. First and foremost is growing our investments behind the top line growth. And what I mentioned earlier about CapEx is evidence of that. In addition to that, there are a lot of new, if you like, initiatives and big bets that are coming behind coffee, digital transformation and so on that will require capital.  And from then on, we have said many times that we have an active interest for bolt-on acquisitions for locally relevant brands in the stills space, but also, for example, adult sparkling and any other categories that potentially is adjacent and is of interest strategically. And of course, from then on, if any opportunity comes in terms of a transformational M&A, we feel that we have a very flexible balance sheet to stretch it quite significantly, if necessary, in order to be able to fulfill such an opportunity. So, we have many, many options. And if at the end of the day, like we have done previously, at the end of a midterm cycle, we see that no such opportunities potentially are coming forward, and indeed, we are very unlevered in terms of the balance sheet, yes, potentially special dividend can be again on the cards, given that we cannot do extensive share buybacks. 
Operator: The next question comes from the line of Pinar Ergun calling from Morgan Stanley. 
Pinar Ergun: I have just a quick follow-up on established markets. Your profit margins in the region was very strong in H2. If I'm calculating correctly, your comparable EBIT margin was something like 13.5% in H2. Can you please give us some color on the key drivers of this margin expansion? And come out whether this is a sustainable level of profitability to strive for in the future? 
Michalis Imellos: In the Established, there is, first of all, a very favorable country mix within the segment. And that's because markets with relatively higher margin have performed relatively better than others in terms of the decline, of course. So, I would say, to some extent, this is a technical sort of benefit because some markets did not decline as sharp as others. So, for example, if you compare Switzerland to Greece in terms of the top line decline.  From then on, within the segment, we have had relatively good performance on price mix because there were price increases in the segment that were taken early in the year before even the outbreak of COVID. And that helped, obviously, throughout the year. We had very good category mix. It's a consistency also in Established that sparkling and energy have been outperforming all other categories. And from then on, of course, package mix was negative and channel mix was negative. Having said that, we have seen that in the second half, there has been quite a significant improvement compared to the first half in this respect.  From then on, input cost has been a very strong tailwind. And obviously, all the cost savings, the cost-saving actions have benefited also this segment. So, these are more or less the drivers for the good strong performance in EBIT margin in Established. 
Operator: Our next question comes from the line of Alexander Gnusarev calling from VTB Capital. 
Alexander Gnusarev: I have a couple of questions. To be quick, I'll ask them one by one. When you are talking about fixed revenue recovery in 2021, what range was implied there? 
Zoran Bogdanovic: What we are looking is high-single digits without tax in Poland. If you take Polish tax into account and the price increases there, so then we are looking just at the low double digits. So, that's the neighborhood we are talking about. 
Alexander Gnusarev: I think the previous question was about it, but I really missed the part. How sustainable your record high margins in Emerging segment will be in 2021 and on further? 
Zoran Bogdanovic: You said in Emerging? 
Alexander Gnusarev: Emerging. Sure, Emerging. 
Zoran Bogdanovic: Michalis, you want to take that part? 
Michalis Imellos: In Emerging, in 2021, obviously, this is a segment that we see the biggest, let's say, impact from the forex and the input cost increases. On the other side, we see, obviously, to Zoran's point earlier, very good top line development, which is going to help on the leverage to the bottom line margin. So, all in all, I would say that because emerging has had a fantastic year in 2020 in terms of the growth, actually, real underlying growth of EBIT margin, it can continue to grow, but probably not as fast as potentially the recovery that we can see in the other two segments – as the other two segments recover, to a larger extent, from the impact of the pandemic. 
Alexander Gnusarev: The last question from my side, how do your trade payables change year-on-year in 2021? Are they going to grow? Maybe some color there. 
Michalis Imellos: I'm sorry, what was that? 
Alexander Gnusarev: Specific, how possible could your trade payables line change in 2021? Perhaps the total amount is going to increase. The average days are going to increase. Maybe you could provide more color on that. 
Michalis Imellos: I would expect, first of all, that both receivables and payables as an absolute balance will grow simply because the activity overall will pick up in 2021 compared to the levels of 2020. So, if I look then at the days, to your point about payables days, there isn't really reason that fundamentally something will change very dramatically. Of course, 2020 was a year where we all worked very hard to preserve cash and be very careful with management of working capital. So, if anything, I would say that it would be difficult to continue to improve payables days from the 2020 performance. And therefore, I would expect to see some deterioration in payables days as a result of, obviously, the growth in the payables balance. 
Alexander Gnusarev: Since we were talking about payables, what was the payables amount in 2020? I wasn't able to find it in accounts, actually. 
Michalis Imellos: We can take it offline. It's in a couple of places and we can point out and help you with that, Alexander.
Joanna Kennedy: Alexander, IR will come back to you on that. 
Operator: The next question comes from the line of Alicia Forry calling from Investec. 
Alicia Forry: You touched on the competitive environment, obviously [technical difficulty]. During the crisis, we heard about the consumer moving more towards bigger trusted brands across many categories at the expense perhaps of some [indiscernible] smaller brands, presumably this would have helped you. Are you observing this in your specific categories? And do you think that might still be a feature going forwards in 2021 or might some of the smaller brands claw back some lost shelf space? 
Zoran Bogdanovic: First of all, yes, fully reiterating and echoing what you said about the tested, proven, known and loved brands. And that's why we see such a resilient and very good performance of sparkling, first of all. Now, this also means that we are in this approach that is, I would say, evolved and more rigorous, is that some smaller brands, we see where really they are relevant, in which countries more than others. And that means that we are more conscious of a segmentation that certain brands will play a role in given markets, and then they will be also properly supported versus spreading ourselves thin of, let's say, keeping some of the brands in the markets where either our right to win or potentiality of the category is not as attractive as it may be in some other markets. That's why, beyond the overarching priorities, which start with sparkling, et cetera. Second thing is that we are applying this approach of customer segments where certain brands are more relevant. To be concrete, when you take, for example, some of our juice brands, they are very relevant in several markets like Russia and Belarus and Ukraine and Serbia and Greece, whereas in some other markets, keeping some of the juice brands might not be any more justifiable because of the size or because of the economics. And therefore, available funds, we will channel behind those brands where it really matters and where it will make an impact. 
Operator: The next question comes from the line of Richard Felton calling from Goldman Sachs.
Richard Felton: Just one question for me, please. On the topic of single-serve at home, which you've mentioned a few times today and on previous calls, I'd just like to understand the size of the opportunity in a bit more detail, please. So, would it be possible to tell us roughly how the revenue per case for single-serve at-home compared to the larger at-home pack formats? And then, within your at-home channel, what is the share of single-serve currently? And what is a reasonable benchmark for how that might evolve over time? I appreciate it probably varies quite a bit market to market, but any detail you can share to help us understand the size of that opportunity would be great. 
Zoran Bogdanovic: First of all, not knowing the exact number from the top of my head. However, single serves are certainly on the higher end of revenue per case in the at-home channel. Of course, it depends which single-serve from which category. But within any category, single serves will have higher revenue per case than rest of the portfolio or the average of that channel. Single serves in at-home channel are around 25%. And that percent is growing over years. As single serve is our continuous focus over years, there is more and more package proliferation that we are doing. Part of the conscious efforts, which especially got boost last year because people are more at home, we are also more focusing behind multi-serves of single – sorry, multipacks of single serve. And a good, let's say, example of that is that, in Q3 last year, we grew multipacks of single-serve 4.7%. Q4 was 12.9%. And it continues.  The opportunity is strong across all three segments. Even though the percentage of single-serves in this channel is highest in the Established segment, as that one resembles more of shopping patterns that are there in West Europe, so our single-serve percent at-home in Established would be around 35%. But in Developing and Emerging, it's significantly lower. Therefore, that is the opportunity to develop and to bring that percentage to higher levels than it is today. So, that's in a nutshell what I would – that I would say on this. Does that answer what you had in mind? 
Operator: The next question comes from the line of Osman Memisoglu calling from Ambrosia Capital. 
Osman Memisoglu: Just two questions on my side. One is on CapEx and the other one is on Russia. I'll ask the CapEx one first. You mentioned earlier that you will increase investing in coolers again. Can you give us some color on extent of the increase? And how has competition moved on cooler investments in Q4 and these days in Q1? 
Michalis Imellos: Let me just say that we grow coolers CapEx investment every year. Except that in 2020, I would say, in the second half, we slowed down to almost stop any new deployment because, as we can all understand with the out-of-home facing such major challenges, it wouldn't make sense to continue to place coolers in a channel that was severely challenged or even non-operating. But the way we look at that is simply a delay or a deferral of the investment. It doesn't mean that we are cutting coolers investment. And that's why looking at our plans in 2021, we are looking to go, obviously, higher than 2020 and to resume effectively the rate of growth that we had previously with effectively a six-month delay because of the half two of 2020.  And I believe it was a very similar approach also from competition because we all face the same systemic issue in the market. 
Osman Memisoglu: You mentioned the €40 million CapEx was moved forward. Did that include coolers as well or it was for other investments? 
Michalis Imellos: No, it had nothing to do with coolers. It was for other investments. 
Osman Memisoglu: And the second question on Russia, if I can. I appreciate your comments on Nigeria, which is very promising. You mentioned something about affluent consumers increasing in Russia. What's the overall color you can provide on recent market performance and then outlook, short term, longer term, if you want? And related to all this, of course, the recent ruble volatility and your hedging actions. 
Zoran Bogdanovic: I'll start. And before I come to Russia, let me just add one additional point on CapEx specifically on coolers that Michalis was explaining. So, I would just emphasize the point that coolers and our investment there and how we deploy them then is a very good example of how we are leveraging the data insights, which help us to do continuous customer segmentation, so that both quantity and types of cooling equipment, how that gets, I would call it, fit for purpose, that there is a clear picture of success where we want to place types and quantity of coolers specifically behind segments across all markets, really respecting the dynamics and the structure of the market there. So, that doesn't mean we don't continue. Contrary, we will continue investing in coolers, and we will as that's important part of our market investments. However, I just wanted to add this additional piece about the, I would say, insights-driven quality placements within segmented execution.  Now let me turn to Russia, which I really have to say that we are very pleased with the performance that we've seen in Russia last year. It also benefited from the fact that it did not have as severe restrictions as some other markets. So, even a number of channels like restaurants, bars, were not closed for as long, and then they – even with limitations, but they were open.  The overall non-alcohol ready-to-drink market, as well as the sparkling category in the market, has a very good growth in Russia. I'm very pleased that we are, particularly in sparkling, gaining share in such market, which comes as a result of the fact that we've been primarily focused behind sparkling, which is the huge opportunity in Russia, which is focusing behind at-home occasions. Primarily, this is led with our initiatives and programs behind meals at home, which is a huge opportunity in Russia, as we call it, fooding.  Then also there is a very strong performance of adult sparkling. That is also a strategic opportunity for us in Russia, where there is a big revenue pool. The team there has done a fantastic revamp of the whole packaging expansion of – change of packaging, expansion of flavors, together with Coca-Cola Company, diverting more serious investments for brand building and execution in the market. And we see that that gives us very good results. Example, last year, we grew adult sparkling 22% in Russia, also support of zero sugar variants.  Energy is progressing very strongly as well. Again, mid-teens growth of last year, even in a year like that. And I would highlight excellent work that Russia has done with revenue growth management and route to market as two critical capabilities that really mattered a lot last year, but also going forward in Russia, pushing more adults, example of entry pack for at-home consumption, example of 900 ml that Russia has introduced, which is working really, really well. So, these are some of the things that I would highlight that really worked very well together holistically, and that's why we had a very good year in Russia on top of the excellent work that the team is doing there with making business continuously more efficient and faster, so that from top line to bottom line, this has worked very well.  And I have the confidence that the underlying opportunity in Russia is strong. Our team there is very strong. Programs that we have lined up with the Coca-Cola Company team and our own actions are, I think, very well adjusted and adapted to the circumstances. And I believe in the – not only growth of Russia this year, but in the years to come. 
Osman Memisoglu: Would you say you have significant market share opportunities still in Russia? I'm guessing that's one of the few areas where you're lagging your competitor. 
Zoran Bogdanovic: Look, opportunity is there, for sure. However, I need to remind that we are interested for quality share, which means – sorry, share that brings value. That's why it's a value share that we are after in a quality manner that really creates value not only for us, for customers. So in that context, absolutely, yes, but in a quality way. 
Operator: We have no further questions coming through on the phone line. So, I'd now like to hand the call back over to Mr. Michalis Imellos. Thank you.
Michalis Imellos: Thank you, operator. Before Zoran wraps up the call, as many of you know, today was the last time I had the pleasure of presenting Hellenic's results. I have had a great 13 years with an incredible company. Along the way, there have been some difficult challenges, not least the last 12 months, that have helped us to build real financial and operational resilience. And of course, there has been considerable growth.  I wanted to take the opportunity to thank all of you for the positive way you have always engaged with me and our business during my nine years as CFO. You have been challenging, fair and transparent in your approach, and I have enjoyed working with you immensely.  You will get to meet Ben Almanzar, my successor, very soon. He officially joined us earlier this month and will take over in April. For now, though, from me, thank you all, and I'm looking forward to our paths crossing again.  Over to Zoran for the close. 
Zoran Bogdanovic: Thank you, Michalis. On a personal note, I'd like to thank you for your considerable contribution to the growth of our business over the last 13 years. I think today's results show how far we've come in building a much more resilient business. I speak for us all at CCH, and I'm sure for many on this call, when I say it has been a great pleasure to work with you.  Finally, thank you all for your time and attention today. We are very pleased by this performance in extremely challenging circumstances, and it gives me confidence in our future trajectory. We entered this crisis from a position of strength in terms of our portfolio, market execution focus, our customer relationships, our team strength and our partnerships with The Coca-Cola Company and beyond.  This crisis has strengthened those advantages, and our share gains in the year show the benefit of that. We play in a highly potential industry. And we have shown that we can, and we will continue to, adapt to win.  The immediate future may be hard to predict, but 2020 has shown that we can manage this and that we remain well positioned to capture the recovery that will come.  Let me, at the end, extend my good wishes to you and your families and all of us at Coca-Cola HBC sincerely hope you stay safe and well. We look forward to speaking to you all again soon. Thank you. 
Operator: Thank you for joining today's call. You may now disconnect your lines.